Frederic van Daele: Thank you very much, operator. And good morning everyone. Welcome to Delhaize Group’s conference call regarding our Third Quarter 2015 Results. I want to remind you again that today’s presentation and discussion will include forward-looking statements. We want to caution you that such statements are predictions and that actual events or results can differ materially. Factors that may have a material effect on our business are detailed in the cautionary note in our earnings release and are also contained in our SEC filings. The statements are made as of the date of this presentation and Delhaize Group assumes no obligation to update this information. There is a more detailed disclaimer to this call which you can read on page two of the presentation. Today we have the following people with us, Frans Muller, CEO of Delhaize Group; and Pierre Bouchut, CFO Delhaize Group. During the call, we will reflect on our third quarter performance followed by comments on our strategic priorities. Afterwards we will take questions. And for those unable to stay on the call or who wish to listen to it again, a replay will be available on our Group’s website. Frans, the floor is now yours.
Frans Muller: Thank you, Frederic. Good morning everyone. I would like to welcome everyone on this conference call where we discuss our third quarter performance. For the first time this year, we are able to report positive comparable store sales growth for Delhaize America and for Delhaize Belgium and for our Southeastern European operations. We have also been able to keep profitability more or less at last year’s level. It puts us in a good position to realize our full year targets. Slide three provides you with an overview of the highlights of the third quarter. At Delhaize America, we have been able to continue our sales momentum from the first half of the year. Corrected for the estimated $100 million of favorable sales impact at Hannaford last year, as a result of a disruption at the competitor, our sales trend actually improved at Delhaize America to 4.1% comparable store sales growth. We still experienced retail deflation for the quarter. Our underlying operating margin slightly decreased this quarter due to expenses related to the launch of Easy, Fresh & Affordable in the Raleigh market and due to the timing of the 4th of July. At Delhaize Belgium, we have seen a further improvement in our sales strength and market share. This is driven by continued strong performance of our network of affiliates. The performance of our company-operated stores is also improving. However, our operating standards are impacted by the fact that people are leaving the organization as a result of the Transformation Plan and by the transition towards the new store organization which we will have implemented in 53 stores by mid of November. Our UOP margin in Belgium remained stable versus last year as a slightly lower gross margin was offset by an improvement in SG&A. Finally, our performance in Southeastern Europe was very robust. We saw double-digit comparable store sales growth in Romania driven by a drop in VAT, a positive economic climate and by the success of our commercial strategy. In Greece, we also continue to be successful, helped by the new store growth and further comparable store sales growth as well. Our Serbian operations continued to progress in terms of revenues and profitability according to our expectations. All regions improved their market share and grew comparable store sales which resulted in an increase of profitability in our Southeastern European segment. I will come back later to update you on our strategic priorities. I hand over to Pierre now to take you through the third quarter financial results.
Pierre Bouchut: Thank you, Frans and good morning to everyone. Let’s review our Q3 2015 financial results. Slide four provides you with our summary Q3 income statement. At €6.1 billion, revenue increased by 14.5% at actual FX rates and by 2.3% at identical rate. Organic growth for the quarter also stood at 2.3%. Our gross margin reached 24.3% and decreased by 3 basis points compared to last year at identical rates. The gross margin was flat both at Delhaize America and in Southeastern Europe. In Belgium, our gross margin declined by 10 basis points as a result of price investments and additional shrink which were partly offset by better supplier terms. Note that our gross margin in Belgium and Southeastern Europe was supported by better supplier terms, notably through the very positive impact of the Coopernic buying alliance. Our SG&A stood at 21.2% of sales, an increase of 9 basis points compared to last year at identical rates. This increase is the outcome of first, the 20 basis-point increase in SG&A in the U.S. resulting from the additional pre-opening expenses at Food Lion as compared to last year and as well from an increase in IT expenses. Two, in Belgium the 10 basis-point SG&A decrease mainly as a result of the first savings of the Transformation Plan for up to €5 million, partly offset by increased advertising and depreciation. And three, lastly, in Southeastern Europe, SG&A decreased by 30 basis points supported by solid sales leverage. At €218 million, our Q3 UOP increased by 12.5% at actual rates and decreased by 1.7% at identical rates. Our UOP margin stood at 3.5%, down 40 basis points at identical rates. The amount of operating expenses recorded below our underlying operating profits stands at €51 million, mainly €29 million of additional reorganization expenses in Belgium and €9 million cost related to the announced intention to merge with Ahold. The additional €29 million reorganization expenses in Belgium is explained by the final adjustment of our Transformation Plan, in particular with 282 additional voluntary leavers. This €29 million will negatively impact our Q4 free cash flow while future years will be positively impacted by the related underlying cost savings. Our net finance cost stood at €54 million and were negatively impacted by the evolution of the U.S. dollar on our U.S. dollar-denominated debt. We incurred €2 million of income taxes and the underlying low tax rates result primarily from the recognition of the $25 million unrecognized tax asset previously, in connection with U.S. tax losses as a result of a change in our supply chain organization. Our operating free cash flow was negative this quarter and stood at minus €55 million. But this has to be put in perspective with the strong €308 million operating free cash flow recorded in Q2 and the negative impact of the Q3 cut-off time notably in the U.S. and in Southeastern Europe. Actually adjusted for non-recurring cash outflows, our year-to-date operating free cash flow is very much in line with last year operating free cash flow. Slide five shows the evolution of our EBITDA and underlying EBITDA. As you can note, at actual rates, the progression of our EBITDA and underlying EBITDA is very encouraging. Our EBITDA for Q3 has increased to €335 million while our underlying EBITDA increased by 13.7% to €383 million. For the first three quarters of the years, our EBITDA has increased by 5.8% while our underlying EBITDA has increased by 15.7% to €1,115 million. At identical rates, EBITDA for Q3 has decreased by 11% while underlying EBITDA has increased by 0.5%. For the first three quarters of the year, EBITDA has decreased by 8.7% while our underlying EBITDA has increased by 1.1% to €974 million. The following slide six gives you more insight on the revenue evolution at Delhaize America. In Q3, we reported same-store sales growth of 1.7%. Retail inflation stayed negative during the third quarter although less than in Q2 and stood at minus 0.4%. It was driven by price investment at Food Lion while Hannaford operation posted a slight retail inflation. Real growth for U.S. operation therefore stood at 2%. As already mentioned by Frans, adjusted for the benefit of market basket store disruption last year, our U.S. same-store sales stand at 4.1% for Q3. This is a particularly strong performance. When adding up a negative a 140 basis-point calendar impact and a negative 20 basis-point from store closing, our Q3 organic growth stand at 0.1%. Over the first three quarters, we reported same-store sales of 2.2%. If we add the 10 basis-point negative calendar impact, Delhaize America organic growth stands at 2.1%. Here again, adjusted for the benefit of market basket store disruption last year, our U.S. same-store sales stand at a solid 3% for the first three quarters of the year. We continue to be encouraged by our Easy, Fresh & Affordable initiative. In Wilmington, we have now cycled the grand opening of last year. Sales trends continue to be positive and encouraging. In Greenville, which is more impacted by competitive openings as you know, sales trends have continued to improve over the last few months. We have re-launched our Raleigh market mid October with 162 stores and early results are promising. Slide seven provides you with background information on our underlying operating margin evolution at Delhaize America. In Q3, we reported a UOP margin of 4.2% compared to 4.4% last year. This 20 basis-point decrease in our UOP margin is due to the following elements. On the negative side, price investment at Food Lion for approximately 25 basis points, higher pre-opening expenses at Food Lion compared to last year and linked to the 162 Raleigh stores we just re-launched and investment in IT projects for a total of 20 basis points. The positive impact of market basket disruption last year and the timing of the July 4th which fell in Q2 this year but in Q3 last year for approximately 10 basis points. These elements were partly offset by the strong volume growth we continue to experience in particular at Food Lion. Concerning Easy, Fresh & Affordable, we continue to make progress towards our targeted performances. In shrink and labor, we have almost filled the gap with our initial expectation while we still have some improvement to make on gross margin. For the first three quarters, our UOP stood at 4%, in line with last year. The next slide eight presents Delhaize Belgium’s sales evolution. In Q3, Delhaize Belgium comparable store sales turned positive after six consecutive quarters of negative same-store sales and stood at 1.7%. Our internal retail inflation was similar to the second quarter and stood at 0.6% in this Q3. With a positive 60 basis-point on network expansion, Delhaize Belgium revenue growth stands at 2.2%. Our affiliated network has quickly recovered from store disruption of last year and performed well with strong same-store sales for this Q3. On the other hand, our company-operated stores suffered from the implementation of the Transformation Plan which is currently taking place in our integrated stores. By the end of this year, almost 20% of our integrated store force -- workforce in Belgium will have left our store operation. Such significant departures, combined with the implementation of our new store organization and the related hiring and training of new permanent or interim staff of course affects our service to customers during this transition phase. As a result, our integrated stores posted only a modest same-store sales growth in this Q3. As you know, our new store organization has started in June and will be finalized in the second half of next year. Our Q3 market share was slightly up compared to last year and stood at 24%, in line with the level reached in Q2. While this is a first step in the right direction, we are keen to see our market share growth in the next quarters along with the increase of customer visits in our store. As you can see, over the first three quarters of this year, our organic growth stands at minus 0.2% when adding a minus 0.5% same-store sales, a negative 10 basis-point calendar impact and 40 basis points from store network expansion. As shown on slide nine, Delhaize Belgium UOP margins stay flat at 1.4% for Q3. Several elements explain this. On the negative side, price investment and promotion for 130 basis-point, higher shrink, higher advertising expenses as expected for about 25 basis points and depreciation relating to additional remodeling activity for 15 basis points. On the positive side, we realized the first savings linked to our Transformation Plan for 40 basis points and we have better supplier terms also which allow us to somewhat offset this gross margin pressure. We continue to expect the full year UOP margin of at least 2% in Belgium, as previously indicated in line with the trend seen for the first three quarters of the year. On slide 10, we provide you with the revenue evolution in Southeastern Europe. Our same-store sale for Q3 stand at plus 5.1% for the segment, the great performance driven by positive same-store sales and real growth in the three countries where we operate. Romania recorded double-digit same-store sales growth and continued to benefit from strong commercial actions and a lower VAT on food in the country since June 1st. With 680 basis-point positive impact from store openings, our organic growth stands at 11.9%. For the first three quarters, the same-store sales of our Southeastern Europe operation was up 2%. With a positive 20 basis-point calendar impact and a 670 basis-point positive impact from store openings, the organic growth of our Southeastern Europe segment stands at 8.9%. From positive same-store sales and organic growth, we continue to gain market share in those three countries. Clearly we have well-positioned store format in each of these markets. The following slide provides you with more details on the margin evolution in Southeastern Europe. Our UOP margin increased by 20 basis points from 4.3% in Q3 2014 to 4.5% in Q3 2015. The main drivers of this improvement are, first, a 30 basis-point decrease in SG&A as a percentage of revenues, mainly resulting from positive sales leverage across the segment and good cost control in Romania, while Serbia’s SG&A increased as a result of store expansion; and two, the stable gross margin for the segment mainly driven by procurement conditions, better procurement condition in those three countries but offset by additional promotional activity in Romania. For the first three quarters of the year, our UOP margin increased by 40 basis points to 3.8% with all three countries improving profitability. The following chart on slide 12 provides you with waterfall analysis of our cash flow generation at actual FX rates in the first nine months of the year. When taking into account an underlying EBITDA of €1.1 billion, the working capital outflow of €35 million, net interest and taxes paid of €195 million, cash CapEx of €509 million, non-recurring items for a total of €76 million and other cost for €129 million, we get to a free cash flow generation of €160 million for the first nine months of the year. This €160 million free cash flow compare to €426 million generated last year. Last year, however, included €171 million proceeds from the divestiture of Sweetbay, Harveys and Reid's whereas this year only includes €14 million proceeds from the Bottom Dollar divestiture. Our operating free cash flow therefore stands at €146 million for the first three quarters of this year, €109 million below the achieved €255 million operating free cash flow of last year. Such a difference from one year to another is largely explained by, first, a €151 million higher underlying EBITDA from continued operation which makes up for the €125 million additional cash CapEx compared to last year. And two, the difference in operating free cash flow from one year to another is therefore largely explained up to €90 million by non-recurring cash elements which are the following: First, €35 million cash out relating to the Transformation Plan in Belgium; Two, another €25 million cash out resulting from a fine from the Competition Authority in Belgium; And three, €28 million merger related cost. Note that this third quarter was also impacted by some negative timing elements such as for example the impact of the 4th of July on our U.S. operating working capital and the capital control in Greece which had positively impacted our Q2 but reversed in Q3. We therefore remain confident to achieve our 2015 free cash flow target of €450 million excluding the Transformation Plan cash out which we expect to be around €90 million for 2015 instead of the €80 million previously communicated to you as a result of additional voluntary leavers following the Transformation Plan. I now handover to Frans to give you an update on our operation.
Frans Muller: Thank you, Pierre. Let me now provide you with an update on our strategic initiatives, firstly Easy, Fresh & Affordable at Food Lion. I'm pleased to say that we have made considerable progress in the Wilmington and Greenville markets where we re-launched the first 76 stores in the new format in the second half of the year. As we discussed in March, we have initially operated three -- these stores at a too high level of shrink and labor hours. In the third quarter, in terms of profitability, we have continued to narrow the gap with our expectations and we are cautiously optimistic to continue this strength in upcoming quarters. In terms of sales, trends in Wilmington continued to be rewarding, also in the second year post launch, whereas our sales in Greenville, as Pierre already mentioned, has been impacted by the level of competitor openings as you already know. On October 14th, we re-launched the 162 Food Lion stores in the Raleigh market following a $250 million of capital invest. We have been delivering this plan, thanks to meticulous planning, a highly disciplined execution from our Food Lion team and most of all, thanks to a lot of energy from all of our associates. Raleigh is a critical market for us. And thanks to our learnings from the Wilmington, Greenville markets, we believe we have started the re-launch out of an strong position. During the summer, we have started the work on our 2016 plans, Easy, Fresh & Affordable, on which we will update you in due course. Secondly, we have continued to work on the Easy, Fresh & Affordable initiatives that we have implemented bannerwide. The rollout of our new private brand ranges continues as planned, and we have also made further price investments to which we already referred to in July in order to stay competitively priced in all of our markets. Finally, we have continued the Count on Me associate training that we started last year, resulting in an improvement in our customer service. We also believe that our associate engagement has considerably improved since we started this initiative. Moving to Hannaford, to Hannaford Brothers, we have enjoyed a strong third quarter of the year if we correct for the estimated €100 million exceptional revenue boost that we gained last year. The momentum within the banner at the end of the quarter was encouraging, and was partially supported by some level of price investment which we made in some regions. Additionally, we opened at Hannaford our first smaller concept store in North Berwick in Maine. This is a 20,000 square-foot store where we are trying to have as much as possible of our fresh concepts in only half of the normal sales area. The initial results exceeded our expectation, but it's too early to say if this is a format which we could use more actively in expansion going forward. Let me now provide you with an update on the Transformation Plan in Belgium. In October, we have completed the process whereby our employees could sign up for voluntary leave including an agreed redundancy package. As a result, we will have 282 additional employees leaving our organization compared to the earlier 1,800 we announced. As Pierre already mentioned, the higher number of voluntary leavers does have consequences. We have to increase the restructuring provision by €29 million, compared to the €137 that we announced in March, plus €2 million, which we added in the second quarter. We will also have to find more temporary labor in order to fill the gaps in the stores before the new store organization is fully implemented. Obviously the higher-than-expected number of departures will result in additional cost savings, but at this stage we will not update our earlier view on this. We continue to aim to generate at least €80 million of savings by 2018, which we plan to partly reinvest in our overall customer proposition. By mid-November, we have now implemented the new store organization in 53 stores. Simply said, this implies having a lighter organization in the stores. We continue to fine tune this process and the third wave of stores is scheduled for the first quarter of 2016. While we are pleased with the positive trends in same-store sales growth and market share, to a large extent this has been due to the success of our affiliated network. Our company-operated stores need to digest a lot of changes in their workforce and as a result there is a scope to improve our operating standard, this will take time. I would like now to spend a moment on Southeastern Europe. We have posted another strong performance in our Southeastern European segment. While our performance in Romania stood out from comparable store sales perspective we also have been pleased with the continued out performance in our Greek operations. The business in Serbia continues to operate according to plan. In Greece we have continued to trade well in the third quarter despite the impact of the political uncertainty on the Greek customer. While we know that here remain significant uncertainties for the consumers in the coming years, we’re also optimistic that we continue to grow our operations. In Serbia, we have managed to grow same-store sales. This is a combination of maintaining a strong price position and the success of our Maxi remodeling strategy. In Romania, Mega Image benefited from the lower VAT rates which has been implemented in food category since June. However, it’s also benefited from generally attractive market conditions and the success of our commercial policies. We are optimistic that our Southeastern European operation can continue to do well in the last quarter of the year. Now a brief update on the proposed merger with Ahold. While we remain highly focused on running our day-to-day operations, we also making good progress with integration planning and as you know, the objective to complete transaction mid of 2016. Different work streams are working on topics like finance, legal operating model in order to pave the way for a smooth transition. We have a number of key milestones ahead of us in the coming months on which we plan to update you in due time. We also planned a number of roadshows later this quarter during which Dick Boer and myself will meet investors together. We have summarized the outlook for 2015 on slide number 17. The outlook has not changed compared to early this year. Our attention remains dedicated to our two strategic initiatives which we have set for the year, the rollout of Easy, Fresh & Affordable and the implementation of the Transformation Plan in Belgium. We are looking forward to the important fourth quarter of the year and expect positive volume growth in our three operating segments. In Belgium in particular, we plan to deliver an increased market share with positive same-store sales growth. We continue to plan spending €700 million of CapEx at identical exchange rate and delivering a healthy free cash flow that Pierre already mentioned for the full year. And now I would like to open up for questions. So please operator, could you give instructions and lead the Q&A session.
Operator: [Operator Instructions] We will now take our first question from Fabienne Caron of Kepler Cheuvreux. Please go ahead.
Fabienne Caron: I’ve got two questions on the U.S. The first one, can you tell us the impact of Walmart on Food Lion because if I remember, you had to adjust the salary of your store managers? Can you tell us what was the impact and if you have done all the adjustments already? And the second question would be on Hannaford, with some of the states in the Northeast of the U.S. which plan to increase the minimum wage, if you would have an impact and can you help us there? And the second question -- sorry, not on the U.S., it's on Belgium. Can you give us a feeling of what was the like-for-like of your affiliates in Belgium in Q3 please?
Pierre Bouchut: Well, we are not going, Fabienne, to disclose the like-for-like separately for Belgium and U.S. stores. There is [Technical difficulty] as I said it earlier, our integrated stores posted only a modest like-for-like for Q3, while affiliated stores posted a really very strong like-for-like in Q3 but we are not going to disclose any figure. On Hannaford's minimum wages, Fabienne, in the northern part of the East Coast, of course, we monitor this state-by-state. We have a current minimum wage and of course we are as a company compliant to the legislation and in some of the states we already have higher actual start rates of our wages. And we feel comfortable with this. Secondly, for the 2016 period of what we try to monitor what's coming up. So, if there are potentially minimum wage legislation coming up for Maine or for Massachusetts, then we monitor those. We are in line with those and we are very closely to monitor the effects. So far we are doing well and so far we can attract the labor and the right sell-ins according to those measures. On Walmart, Walmart comes, as we all know, in at least two different type of formats with the Supercenters but also with the Neighborhood stores. I think all over, we can see that, like Pierre mentioned earlier, when we see an increased number of N superstores and enabled stores in a Greenville area that we are of course impacted by this. But the good thing is that we cycle them very well. So I think we have a very competitive pricing at Food Lion, we have a very competitive overall shopping experience and we feel comfortable that we cycle them well and that we can deal with a competitor like Walmart like we can deal with other competitors at the same time. And I think the like-for-like sales growth you saw for Food Lion and for Hannaford, I think are also a proof that we're doing pretty okay.
Fabienne Caron: And what about the cost structure, I thought you had to adjust the salary of the store manager at Food Lion?
Pierre Bouchut: Yes, but that's all done.
Fabienne Caron: All right.
Pierre Bouchut: It's roughly done a year ago where we reviewed store managers both on performance and on wages, we made those corrections already. Those corrections are already now in our numbers, so that's taken care of.
Operator: Thank you. We will now move to our next question from Sreedhar Mahamkali of Macquarie. Please go ahead.
Sreedhar Mahamkali: Three questions please. Firstly, U.S., just give us a sense of current trading if you could please, I know we haven't quite closed even the first month of Q4 but just try and understand ex-market basket, the run rate seems pretty strong as you’ve hinted already. And should we be expecting much more significant bump-up in the CSS in Q4 versus Q3? Secondly, give us an idea in terms of when you will actually annualize the Coopernic buying alliances and the support you're getting in terms of better procurement conditions particularly in Belgium and Greece. I just seem to remember in Q3 last year you've already talked about better procurement conditions. So it just will be helpful to understand when we'll actually annualize those. And finally, in terms of working capital evolution, Pierre, I think you've talked about already reiterating confidence for €450 million free cash flow the year, just give us an idea because working capital this year has been pretty much unchanged. Are you expecting clearly a significantly improved performance in Q4 in working capital? What is actually going to drive it? Which side of the equation for working capital will drive that better performance in Q4? And that will be very helpful.
Frans Muller: Coming back to the U.S., we see encouraging same-store sales numbers as we already indicated before. And looking at current trading, we cycled market basket -- the market basket effect quite well and we are confident for the fourth quarter. I would not raise now expectations based on what we see at the moment but we're doing quite well. But as you see, the fourth quarter with all Thanksgiving and the Christmas season is coming up, it's a busy period. We're looking forward to that period and we're looking forward also to deliver good result in line with our year-to-date growth numbers.
Pierre Bouchut: Regarding Coopernic, Sreedhar, first of all it is the first year in 2015 that we have the benefit of Coopernic. What is clear is that those benefits are, I would say, beyond our expectation. And we of course have a plan for the coming years and we see those benefits continue to increase steadily in the future years. We have not released any figure and we are not cycling the Coopernic benefit. So this is the first year we have Coopernic -- we are recording Coopernic benefit. It is much more significant than the AMS benefit we are having before. And we have a plan to further increase those Coopernic benefit in the coming three years. We are extremely satisfied of this buying alliance. Regarding working capital, let's say, we had been guided originally the market prudently. If you remember, we have €450 million free cash flow excluding the one-off cost of our Transformation Plan. As you have noted, we are now facing some unexpected non-recurring cash outflow, so we have the Transformation Plan. The cost of it would be slightly higher because we have additional voluntary levers in the last part of this year, so we’ll have to make a profit. We have had this penalty from the Belgium Competition Authority and we have also a merger related cost. But I think we’ll be able to absorb those because we have been guiding the market prudently and still deliver €450 million free cash flow excluding the Transformation Plan outflow. So, we are still confident that we’ll post a solid free cash flow in Q4. In Q4, in particular, as you know, because there is a seasonal impact. The seasonal impact not only on our EBITDA but also on our working capital situation at the end of the year.
Operator: Thank you. We will take our next question from Francois Halconruy, Morgan Stanley. Please go ahead.
Francois Halconruy: I have two questions please. The first one on the U.S. and your Fresh, Easy & Affordable plan. And I guess in Wilmington and Greenville you say that sales are rewarding but could you just confirm if in these two markets they are actually growing ahead of the rest of your network? And also is it rewarding, but also in line with your expectations? And then related to profitability well you’re making good progress, this is your expectation for these remodeled stores, any lessons there that you could apply to the rest of the remodelings and that could help decrease the €355,000 of pre-opening expenses? That’s my first questions. And second question is on the finance cost to the quarter which came in quite above consensus expectations in Q3. And was that mostly linked to the one-off you mentioned around the value change of currency derivatives and how should we be thinking about the full year number this year but also are you comfortable with next year’s consensus expectation of around €150 million for the finance cost?
Frans Muller: To come back to the U.S. to start with the indicative amount for store opening we gave as operating expense, we are completely in that planning and there is no deviation from that amount. The second thing is, your question on Greenville and Wilmington. We said already that Greenville was impacted by more openings than we anticipated of competition that’s mainly Walmart Supercenters, Neighborhood stores and Harris Teeter. And if we would correct for those square meters then the same-store let’s say is growing also there fast than the total network and for Wilmington this was already in the case. So we are happy with the top-line developments. As Pierre mentioned, there is some perspective there to increase the margins and we made very good progress on both labor and shrink to come close to our pro forma.
Pierre Bouchut: Yes, regarding our financial cost, the situation is a bit complex. This year our interest expenses, our financial cost is affected by two things. First of all, up to €41 million, as you know, because of the one-off cost related to the tender offer we made on our loans in Q2. So adjusted for that, our year-to-date financial costs stand at €152 million versus €127 million. And the second element which affects our financial cost of course is FX. About two-third, 65% to 70% of our total debt is U.S. dollar denominated and therefore we are affected by the increase of the U.S. dollar versus the euro which is quite significant as you know. Then this being said, we have a second effect is the volatility of our interest rates from one quarter to another and this is a bit of complex to explain but we have an inter-co loan from a Belgium company to a U.S. company which is U.S. dollar denominated and it’s a very long-term loan. So of course we have hedged this loan and we have made a swap so that to avoid any currency risk and. And there are two ways of accounting this problem, the first is the loan itself at each closing date for each quarter is accounted at the spot rate while the swap is accounted at the mark-to-market valuation, and there could be a disconnect at each cut-off date between those two accounting methodologies and this creates because of the volatility of FX rate, a bit of volatility on our interest expenses. This being said, it has no impact of course from an economy standpoint. And over time the two accounting methodologies should derive to the same point. So, this explains why from one quarter to another you can have significant, slight variances from our interest expenses, but over time there is no difference. I don't know if my explanation is that.
Frans Muller: Most simplified way of presenting it. Everything being taken into account, yes, we are confident with the amount that you have indicated for interest expenses is in 2016. And small add-on on Easy, Fresh & Affordable, hopefully this is helpful, with the learnings of Greenville and Wilmington we came better out of the gates for the 162 Raleigh stores, both on labor and shrink and store organization. So we are very confident that we have a very good start in Raleigh, not only to top line but that we are also much closer to our expectations and plans there.
Pierre Bouchut: Just to be precise €140 million of interest expenses in 2016 is assuming an FX rate of €1 for $1.1 just to avoid any confusion.
Operator: [Operator Instructions] We will take our next question from Cedric Lecasble of Raymond James. Please go ahead.
Cedric Lecasble: Most of my questions have already been asked and addressed. I would just have a remaining one. Based on your current expectations, have you changed any of your plans on the total conversion as a Food Lion network into Easy, Fresh & Affordable? Could you update us on your midterm plans in terms of numbers, to what percentage is the total network after the [indiscernible] experiment. And do you still see some room to improve the concept you mentioned progress on labor on shrink, are there some other areas where you can still improve the efficiency?
Frans Muller: On Easy, Fresh & Affordable rollout, we already said at the call text [ph] that we’re working now on the next market for 2016 and that will be in a strategic market for us but we do not want to disclose further where this will be for competitive reasons. On Easy, Fresh & Affordable, the total refurbishing of those stores, we are in line also going forward with the cost and expense for the openings itself. I think we have a very good planning there, very precise. We make progress on shrink and labor as you mentioned, but at the same time, we also learn more how to work with a traffic creating better offer in fresh and ultra-fresh. So to give you an example, in Raleigh we have added a frequency from our warehouses to service those stores better. So I think this will also help us in better shelf availabilities in fresher produce in lower shrink numbers. We worked at the store organization, the layout. We have in Raleigh a few -- a new decor in our stores which is I think even more communicative to our customers and gives better directions in layout and makes the store even more intuitive. So, we learn on the way. And if you see now the 160 stores, 162 stores of Raleigh done in six months time, this is an amazing effort, which gives our company a lot of routines now to go to the next market, so we gain experience, we gain routines, and we also learn how to work with the new offers and new assortments in a better way.
Operator: We will now move to our next question from Fernand De Boer of Degroof Petercam. Please go ahead.
Fernand De Boer: It’s Fernand De Boer, Degroof Petercam. Three questions if I may, one on the savings, you took an additional provision but did not update the guidance, why is -- what's behind that, because it should lead to additional savings if you have more people leaving the company in the short term? Then on the tax rate, you had recognition of deferred tax assets, what could you expect there going forward? And I think more in the pipeline in the last one, you stated that you will go on the roadshow together with Dick Boer, but that should also mean then at that moment there are some documents available or what are you going to tell to street by the way? [Ph]
Pierre Bouchut: Well, I am not sure I understood precisely your first question, but of course the additional voluntary levers is the one-off cost which translate over time in savings. The savings is in line with our Transformation Plan, so effectively additional people have opted to choose the Transformation Plan condition and will be hiring new people at new bargaining agreements. Regarding your second question which is, yes, it's -- these $25 million of recognition of the former tax credit will obviously improve our effective tax rate in 2015, but our guidance for our effective tax rate over time is not changing. So in 2015 probably we should come up with an effective tax rate of 23%, but in the future our effective tax rate should be back to normal. And your third question was…
Frans Muller: The third question was the roadshows with Dick Boer, then for the end of November and the beginning of December. The objective here is to share together with the market our joint and shared enthusiasm for this combination. That's one topic we would like to do and answer all the questions on this topic. The second thing is we would like to inform the market on the progress on the merger as such, so talk about the various filings and the status with the authorities. And the third thing is we also would like to share with the market itself how we now progress in the various work streams on making sure that we are ready for day one. And ready for the day one is ready for day one synergies, ready for day one associates, change managements, logistics and this kind of things. And we would like to give more light on those topics as far as we have them end of November and December roadshows.
Operator: The last question comes from James Grzinic of Jefferies. Please go ahead.
Q - James Grzinic: I just had a very quick one. My impression that you seem to be a little bit more enthusiastic about prospects from Belgium in Q4. Can you perhaps explain a little bit more why that is the case? Do you think the integrators can do a little bit better or do you feel that the associate stores can really lift performance even further? What is giving you that increased confidence if indeed it is there in the first place?
Frans Muller: What we said, James -- thanks for this question. We said in the last quarter already when we saw let’s say higher margin than you might have expected. We said, let’s be careful and prudent. We are in a big transformation program and when you see the numbers of people leaving the stores then we talk about close to 20%. So we have to learn a lot of new routines with the new store organization with a lot of routines and experienced people leaving our company. And at the same time, we came out of a period where we have quite some disruptions. So, the 2015 year will be still a year with high volatility especially for our company operated stores. And we work now very hard to implement those new store organizations to make sure that we in line with the savings as we predicted that goes very well and indeed the affiliate stores are making strong progress here. It’s too early to say -- to adjust any outlooks there. We are confident with at least 2% UOP for the full year, which we indicated earlier. But there is no reason now through lack of visibility in such a huge game, huge changing environment, there is no reason now to adjust that indication.
Pierre Bouchut: And if I may, James, don’t forget that our comparable basis last year in Q4 was extremely difficult -- we had a very tough Q4 last year with store disruption and we are cycling such, I would say, a favorable comparison basis.
Frederic van Daele: Thanks everyone for participating in today’s conference call. A replay is available on the website. And if you have any additional questions, do not hesitate to contact the Investor Relations department. We will announce our full year revenues on Friday, January 22nd on 2016 and speak to you then. Thank you.